Michael Beer - CFO and Head of Corporate Services:
Robert Piconi - Chairman and CEO:
Justin Clare - Roth MKM:
Noel Parks - Tuohy Brothers:
Operator: Greetings, and welcome to Energy Vault's First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Beer, CFO. Thank you. You may begin.
Michael Beer: Hello. Good afternoon. Greetings, and welcome to Energy Vault's first quarter 2025 financial results call. At this time, all participants are in listen-only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn this conference over to your host. Sorry. Thank you again. Hello, and welcome to Energy Vault's first quarter 2025 financial results conference call. As a result, as a reminder, Energy Vault's earnings press release and presentation are now available on our Investor website, and we will be referring to the presentation during this call. A replay of this call will be available later today on the Investor Relations portion of our website. This call is now being recorded. If you object in any way, please disconnect now. Please note that Energy Vault's earnings release and this call contain forward-looking statements that are subject to risks and uncertainty. These forward-looking statements are only estimates and may differ materially from actual future events or results due to a variety of factors. Please refer to our most recent 10-K or 10-Q filing for a list of these factors that cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to publicly update or revise any forward-looking statements except as required by law. In addition, please note that we will be presenting and discussing certain non-GAAP information. Please refer to the Safe Harbor disclaimer and non-GAAP financial measures presented in our earnings release for more detail, including a reconciliation to comparable GAAP measures. Joining me on the call today is Robert Piconi, our Chairman and Chief Executive Officer. At this time, I'd like to hand the call over to Robert Piconi.
Robert Piconi: Great, Michael. Thank you, and good afternoon to everybody here on the call. I want to point out to everyone, as Michael just referenced, that there is an Investor presentation that's been added to our website, and we'll be sharing more information relative to some of the comments I'm going to be making. I'll be referring to some of those charts as we're attempting to share more detail with investors, in particular around our recent project financings, our cash situation, as well as our energy asset management and the build-on-and-operate model. I'm going to jump right into the numbers here, and I think just generally, as we saw today, encouraged by the announcement that was made earlier today with the China and U.S. tariff pause, so obviously the market breathing a sigh of relief, I think jumping right into our numbers, and as we always do, starting with our backlog and what's been contracted and as the indicator of growth, strong year, kickoff to the year here, up about 50% in booking since Q4 on strength, both in Australia, and I'd say in the U.S. as well. I will comment that that number could be much higher here today in terms of growth relative to essentially the tariffs in the U.S. and a lot of projects, $200 million to $250 million worth even above this bookings number that were in play for us and then were paused just relative to what was going on in April with the escalations of some of the rhetoric and the back and forth and the tariffs that were put in place, so I think a lot of opportunity here that I'll talk and reference more about later, but suffice to say, we continue to see strength and opportunity both in our core markets in Australia and the United States. On the revenue side in the quarter, it was an increase of 10% year over year and driven again by the start of Australia projects, so you're going to be hearing more and more from us this year as we contracted some of the initial projects in Australia and now we'll begin to recognize revenue as those begin to construct. We also had an encouraging agreement with India given the growth in battery storage that's happening there around licensing our battery hardware and software architecture for local manufacturing. The gross margin was quite high in the quarter, almost double the 26% from last year, 57%, and again, this was reflecting some of the regional mix with Australia, which given the contract structures we have there and the way we're building and constructing and contracting those projects, as well as the mix related to a portion of the license that we signed in India. From a cash perspective, I think notable here of 57% on a quarter-over-quarter basis. We have a large increase on Page 14 if you look at the increase in our energy storage assets as well, so we put a page in place there on 14 to reflect not only the trend of our cash, which starting with Q4, we finished at $30 million, increasing Q1 to $47 million, and we have shown a rolling two-quarter view now in the cash and showing additional increases up to $75 million as we'll be putting other project financings and the investment tax credits in place that are already contracted. So, I encourage you to take a look at page 14 because we've been explicit with that, as well as showing over that same period the energy asset growth on our balance sheet, so that's made up of both property, plant, and equipment that we own, as well as any of the construction in progress. So it's interesting to look at those two things side-by-side as we were spending cash off of our balance sheet to invest in these projects. Now the cash, as planned, coming back to the balance sheet with the first project financing completed the end of the quarter on the Calistoga Resiliency Center, and we expect those trends to continue in the coming two quarters, including $45 million more coming in the project financing and the sale of the ITCs, both expected this quarter in Q2 and into Q3. Sticking on cash for a minute, and a big milestone achieved, and if you look at Page 11, we have our first owned and operated asset in Cross Trails in Texas that is operating and participating in the market now as it's being commissioned. As you'll recall, that asset is scheduled with the Gridmatic offtake agreement to go into commercial operation June 1. Encouraged by getting that commissioning and participating in the market ahead of schedule, and I think bodes well for how we're going to be executing these projects going forward, and I think fundamentally important that we also have the recent financing now that's going to be coming up and a few term sheets in place that we're going to be utilizing to go ahead and close the financing on the Cross Trails project as well. On an adjusted EBITDA perspective, improved 22% year-over-year, and it narrowed the loss to $11.3 million from $14.5 million in the prior year, that's stemming from the gross margin improvement as well as reduced operating costs, even on what is a seasonably low type of revenue number in Q1, so that's encouraging progress there on that, and we expect that to continue to improve into the second half of our year. Mentioning OpEx, here we are implementing and in process of implementing further reductions in our infrastructure and on the operating expense side, 15% to 25%, as you'll see noted in our press release, that's about 40% down from just 18 months ago from the end of 2023, so we proactively have been doing this. I think some of the U.S. volatility that we experienced that impacted I think most everyone in the sector that's in this space is something that we continue to focus on and get in front of as we look at streamlining our overall infrastructure as well as optimizing our portfolio investments and where we actually invest for projects in the near to intermediate term. This also reflects that we'll be ramping up activity in Australia, so while we're optimizing overall our infrastructure and footprint, we are also and continue to invest and increase investment in the Australian market given the continued opportunities that we see there. I think if you look at chart 12 and overall and look at our frame of the Energy Asset management business, which is our new build, own, and operate assets, we've attempted to demonstrate and show there the portfolio of projects. There are seven of them right now that are progressing, two of which now are either in operation like Cross Trails or Calistoga, which is due to be operating from June 1st, and those just first three projects, so the ones where we already have contracted and own either in the market, like the first two I just mentioned, as well as Stoney Creek in Australia, are going to be delivering about $30 million in annual recurring project EBITDA over the next 15 years. So page 12 not only reflects those three, but it also shows the other four projects that are progressing that we have direct rights to own. That total of just those seven projects alone will get us to something in the range of about $100 million of recurring operating EBITDA, again, long term. These are assets that will be 15 years of life plus that it will continue to run and encouraged by the continued progress that we see there. Finally, what I'd say, and just rounding things out from a numbers perspective, as I mentioned at the start here, encouraged to see the China-U.S. tariff pause a bit. That does reignite some discussions that we were having for U.S. battery deliveries. We are not changing our current guidance in light of that for this year. We have a lot of diversity in our project, both geographic, as well as we have diversity in the fact that 90% of our current backlog is actually not impacted by the U.S. tariffs that were underway. We had one project that was set for delivery this year that we have flexibility to deliver next year under an alternative to China supply chain with a large Tier 1 battery player. So we have put in place a structure and contract to deliver outside of China, as the case may be. If you go to page 13 from the investor deck, you'll see a summary of the potential impacts of various tariff scenarios there, but we're also explicit that we've secured up to 2 gigawatt hours of capacity for 2026 delivery if the need should arise for us to deliver outside the China supply chain. And we'll continue to evaluate that here over this next 90 days of the period announced this morning, and to see where things are going to shake out. So we've built that into our outlooks. We're not exposed as much on the prior backlog. As I mentioned earlier in the bookings discussion, we do have upside on projects that were in discussion during the tariffs of a few hundred million that we will be reigniting those discussions I think in light of what was a bit locked and frozen before, but in light of the announcement this morning, I think we're encouraged that we're going to have that flexibility to potentially deliver on some things this year as we were planning and in process to do. With that, just to close, I think, on the summary overall, good progress in the quarter I think across the growth drivers, the battery projects in Australia, the 10-year license in India, which diversifies us and exposes us to large growth. We expect there's a license agreement. Our first fully owned energy storage asset operating now in Texas, that's a big milestone for us in terms of our strategy and done on time and under the budget we set and even slightly ahead of schedule. I think it just demonstrates what we're capable of doing with the team we have. I think the geographic diversity and the owned assets over time are going to really play well in various volatile environments that we would continue to expect. Having this recurring long-term predictable EBITDA now with assets that we're going to be putting in service is something that will help insulate what otherwise is an environment that can be a bit lumpy when you're delivering energy storage projects, as we've seen. I think, importantly, and just to close, I think getting the first project financing done and obviously the increase in cash and now the projected continued increases in cash we're going to have over the coming quarters from the various investment tax credits that have already been contracted to be sold as well as some pending project financings should give the investors a lot of confidence that we have the cash in place to continue to invest in our strategy both in energy storage, our energy storage solutions business, as well as the energy asset management and the build, own, and operate portfolio. Very happy to share that and these numbers with you today and we'll look forward to sharing more updates here along the way, in particular, given some of the recent announcements this morning. With that, I will turn it back over to Michael to go over some of the details of the results.
Michael Beer: Thanks, Rob. As you highlighted, the company currently maintains a revenue backlog of $648 million, which increased 49% year-to-date, including two projects in the U.S. with a new customer, our first Energy Storage project in Switzerland and the 125-megawatt, one-gigawatt-hour Stoney Creek project in New South Wales, Australia, which was recently awarded the 14-year long-term energy storage agreement with the LTESA. All told, we have 2.6 gigawatt-hours in projects in Australia, either contracted or under an agreement for acquisition with 400-megawatt-hour ACEN project already under construction and the 200-megawatt-hour OX2 [ph] project announced in Victoria. Given the traction within our third-party build and transfer business and the evolution of our build, own, and operate strategy, now representing 2.6 gigawatt-hours via our EPC, EEQ, and long-term offtake agreements, with another 8.8 gigawatt-hours, or $2.1 billion, in our developed pipeline of awarded or shortlisted opportunities, which the team is working to convert as we speak. Note we adjust our developed pipeline for prevailing battery prices and FX rates for those projects overseas. As Rob mentioned regarding the U.S.-China tariff pause, it's worth noting that we're largely shielded from U.S. tariff risk due to a strong Australian presence, license agreements, and enhanced asset ownership, representing really 90% of our backlog today. And pending final positive resolution and timing, we maintain our current revenue guidance and see potential upside from any acceleration of U.S. battery deliveries later this year. Turning to first-quarter results, from a revenue perspective, we achieved first-quarter revenue of $8.5 million, up 10% year-over-year, principally associated with work in Australia and a new IP license for the energy storage market in India. As announced previously, we signed that 10-year, 30-gigawatt-hour license and royalty agreement with India's SPML Infra to manufacture and deploy those B-VAULT battery energy storage technology platforms. Based upon our backlog, timing of third-party work and equipment deliveries and contribution from Calistoga and Cross Trails next quarter, we expect this to ramp in in the second half of 2025. From a gross margin perspective, our first-quarter GAAP gross margin of 57.1% improved versus the 26.7% margin a year ago, driven by the favorable revenue mix stemming from the India license agreement. On the adjusted operating expenses, our first-quarter operating expenses of $16.2 million decreased by 4% year-over-year, reflecting disciplined cost-side management. Near-term targets include reducing most recently reported quarterly adjusted operating expenses by 15% to 25% to a quarterly run rate of $12 million to $14 million as compared with the first quarter of this year, while continuing to invest in profitable engagements as Australia's market demonstrates robust growth potential. As depicted in the earnings presentation, this would equate to roughly $58 million in adjusted operating expense in 2025, but with an implied annualized run rate of about $48 million in the second half of this year, representing that 40% reduction from 2023. Now turning to adjusted EBITDA, excluding stock-based compensation and other adjustments, our first quarter of 2025 adjusted EBITDA improved 22% to a loss of $11.3 million from a loss of $14.5 million year-over-year, aided by the additional high-margin license revenue and reduced operating costs. First quarter 2025 cash finished at $47.2 million, including restricted and unrestricted cash of approximately $17.1 million compared to $30.1 million at year-end 2024, reflecting proceeds from the Calistoga Resiliency Center, project financing, and the transfer sale of the investment tax credit associated with that. The company reported a $26 million increase in property and equipment, primarily related to construction and progress on owned projects during the period, for a balance of over $125 million at quarter-end, largely associated with investments in Calistoga and Schneider, Texas. Meanwhile, the company is currently in the market for project financing and ITC monetization at Cross Trails, which we expect to occur later this quarter, yielding approximately $20 million in gross proceeds from the project financing, with an additional $12 million anticipated for the sale and transfer of the ITC under the IRA. We expect the transfer and sale of all three ITCs with a reputable buyer to generate proceeds in September of approximately $40 million, of which $13 million were included in the CRC project financing structure, and approximately $12 million is associated with Cross Trails. As highlighted in the earnings presentation, with the timing of Cross Trails project financing and the transfer and sale of those tax credits, along with normal course business operations, we expect to end 2Q with about $50 million to $60 million in cash, including restricted and unrestricted cash, improving further during 3Q to a range of $60 million to $75 million. Turning to our own and operate portfolio, with Calistoga currently undergoing commissioning, the asset is expected to be placed in service later this month or early June, consistent with the offtake agreement with PG&E. Cross Trails is now also undergoing commissioning and currently charging and discharging in the market with targeted operations slated for later this month. Including Stoney Creek, our portfolio continues to progress, with the first three projects named above expected to deliver approximately $30 million in annual recurring project EBITDA over the 15-year-plus life once operational. We continue to execute on the build, own, and operate strategy and have identified a strong funnel of storage asset ownership and infrastructure projects in the U.S. and Australia, totaling over 30 gigawatt hours. In the presentation, we've called out our seven targets with rights to own and operate to achieve long-term goals, to achieve approximately $100 million in recurring annual EBITDA once in service. We also see a host of advantages and synergies across our legacy business, as we leverage our project management expertise, solutions-based approach, and diversified storage project portfolio. While inherently more capital-intensive than the EPC business, these accretive owned and operated projects enhance earnings visibility and our margin profile overall. With that, I'll hand it back over to you, Rob.
Operator: One moment, please, while we reconnect the speakers. Thank you for your patience. We've reconnected the speakers. We will now head to the Q&A session. [Operator Instructions]
Robert Piconi: Operator, if it's okay, go ahead. I was not able to close, so can I close before we get to questions?
Operator: My apologies. Yes, please go ahead.
Robert Piconi: Okay. Great. Sorry for the technical difficulties, folks. Anyway, just to close, as Michael finished there, we lost him for some reason on this side where we are. In any event, Michael, thanks for going through all the details. As I said in the closing, we are sharing and would encourage investors to please take a look at the charts that are online, the Investor updated and the earnings charts. There's some, I think, important detail there. These are not only related to the evolution of our assets and our cash, but also in particular related to the project size that we're owning and operating and what that means in terms of value for the company. I think this is underappreciated and perhaps our view is we're going to be much more visible with what those projects are and the value in terms of recurring EBITDA that they're going to create. We're real excited that we have our first one here now underway and closed, but you'll see some of the details here in terms of IRRs and what's expected in terms of the performance and the overall profitability of these projects over time. With that, operator, let me go ahead and close and just I would like to thank all the employees of Energy Vault for all their efforts, especially in these what's been very volatile times here on the U.S. side of the market in particular and everybody's focus on customers and delivering on our commitments. Okay, operator, back to you for questions.
Operator: [Operator Instructions] The first question is from Justin Clare from Roth MKM. Please go ahead.
Justin Clare : Hey, guys. Thanks for taking the questions here. Wanted to start just with the U.S. market and wanted to see if you could just talk about what you've seen in terms of the impact of the tariffs on securing new bookings in the U.S. market. It sounds like over the last month or so, developers have really been in a wait-and-see mode. And then with the tariff announcement today, what do you expect in terms of demand? In your prepared remarks, it sounds like you think maybe we could restart contracting here, but maybe if you could just speak to how you see things evolving here?
Robert Piconi: Yes. Thanks, Justin. It's exactly as you said. So, we're real encouraged with the start to the year and progress, and in particular, given the planned tariffs that were coming in '26 that were going to be activated, there was a lot of interest from our customers on getting deliveries into this year. And in fact, as we got into April, when the tariff rhetoric started to key up and what became very real as things were put in place with the reciprocal tariffs, things basically locked and stopped. So it just created a situation where people went into a wait-and-see mode generally. We were fortunate in that we have exposure to Australia, other parts of the world for the business, as well as we had assets here and have assets here where the batteries were already here for our own and operate projects, both in Cross Trails and Calistoga that are coming up. So we've had that that played to our benefit, but absolutely, we were expecting to deliver even more bookings at this point on this call, but we're really locked up there in April to be able to do that. But it has been, I'll say, a very busy morning outside of this call, of course, but just with a lot of customer discussions on what could be secured now this year, potentially. Obviously, we have a 90-day window here, so we do not have a crystal ball, but encouraged by the fact that they didn't go to a midway pause on the tariffs. They went all the way back to where things were prior to when the tariffs started to escalate. So that's a -- I think, a strong signal of commitment to try to get to some, if I can call it normalization, which we had planned for, including the increase from '25 to '26. And we'll have to be making some decisions with customers in this 90-day window on deliveries that they may want to secure into this year and should present some, hopefully some upside here. We'll have to see how things progress.
Justin Clare: Great. Okay, that's helpful. And then just wanted to check in on the 2025 guide. Would you be able to share how much of the guide you currently have booked versus how much you might need to still go out and contract? And then, so it does sound like there could be some demand in terms of getting batteries in this year. And then, so I guess maybe you just speak to the ability to get batteries in, given the logistical constraints or anything else.
Robert Piconi: Sure. Yes, just I'll comment and then Michael can add here, too. But we had, going into the year, we had over 80% of our revenue was contracted based on our guide. So we had a good -- we had a lot of strength there and a lot of discussions underway to deliver within the range we gave. Of course, we gave a little bit of a wide range. And you'll recall that that range was impacted also by the fact that we are owning projects, so projects that we announced, even the Stoney Creek project as an EPC that would have had revenue recognition that we chose to own when we got the long term, you know, the 14 year LTESA, the long term energy service agreement from the New South Wales government. So all that being said, we had good, strong 80% plus coverage on what we gave. And I think the only change the tariffs put in is additional bookings that we expected to have this year, which we probably now in this environment, we can do that. And we did have a single customer contract, a larger one, a public utility that was planning to deliver in the second half of this year in Q4, that with the tariffs, they had the schedule flexibility to take it in '26. So that, you know, pending how things go here over the next short term, again, it's going to depend. But we should be able to turn those things back on, you know, just pending how we assess the situation with our customers in the coming weeks. Michael, do you want to add anything to that?
Michael Beer: Yes, I think, you know, we are here based on today's announcement, reiterating our previously issued guidance, you know, certainly on the top line. We are all reading the tea leaves like everyone else. But I think, you know, what we have come to appreciate is there may be a little bit more flexibility in the system than many of us had otherwise assumed. You know, we often think of this as having a business of 12 to 24-month lead times. When you go through what we've kind of seen here over the last six weeks, you know, we start to figure out how to how to find solutions, right, whether it's sourcing from other markets or getting a little bit more creative. You know, and there were a lot of folks that were already looking at the tariff increase going into 2026 and seeing what they could sort of pull forward into this year. So, you know, the fact that we've got, you know, deeply ensconced relationships with customers, we can have pretty transparent conversations as to what's possible. You know, we'll continue to work the solution. There is still go get for the year. And hopefully on the back end of today's announcement, it gives everybody confidence to start leaning into, you know, some of their previously committed project timeline.
Justin Clare: Okay, great. Thanks for the time, guys.
Operator: [Operator Instructions] The next question is from Noel Parks from Tuohy Brothers. Please go ahead.
Noel Parks : Hi. Good afternoon. One thing I was interested in was -- for the India battery technology licensing. As I was sort of thinking about how the market's evolving, what would you say the differentiator was for them with your technology?
Robert Piconi: You know, but a good question, I'd say it was a few things, probably three main things. First of all, due to what's happening with the growth in batteries, which India has been a little bit behind where China is in terms of the deployment, recall China had dictated that 20% of power of all the any wind or solar assets had to be complemented with batteries. So that's 20% of power times, you know, four hours. So they had a top down commitment. India has been a little bit further behind that, but now is going to be experiencing quite a bit of growth. As you know, India is a very challenging market on the cost side. So I'd say, number one, I think now we've got a clearly a growth and a need to deploy in a company that approached us about wanting to domestically manufacture over time. So I think I think that market dynamic is where I'd start in terms of growth and India being the size of the country it is. And its natural resources there, the desire to do things domestically. The company we contracted with is one of the largest water resource and waste management companies there in India. So I think they have a very good infrastructure. Secondly, you know, our solution is very flexible in terms of its focus, hardware, architecture and the type of software we have that can do everything from managing the batteries themselves, do the asset management in terms of the maintenance, the predictive analytics, but also the bidding into the market. So we have the full stack because of that flexibility where, you know, we don't make our own inverter or we aren't unique with one inverter. It gives them choice in that architecture to make those choices and therefore bid and be flexible to the market. So I think the second thing I point to is just that flexibility of our hardware and software that led them to us. And then the third thing I'd say with that is it had to do with the track record we had established with customers and moving very quickly is, as you'll recall, our first roughly gigawatt hour we contracted and had delivered within, you know, the first 10 to 18 months overall. And two of those sites were, you know, the large few hundred megawatt hour sites, but a few of those sites were sites where we broke ground or took control of the site, mobilized and had the project up and running from mechanical completion and full visibility within four months. So two of those three. So I think that track record they spoke to our customers. Those were all in the US. So they did their homework on us. And the other thing unique about those first three projects in the U.S., they were all with different batteries, including Samsung for the one in California, BYD for the project in Nevada Energy, and then our own battery architecture under our B-VAULT with REPT for Jupiter and in Texas. So I think those are the three things that led them to work at work with us. And I think in as Energy Vault does, you know, we were flexible in our architecture and how we solve customer problems and bringing that expertise that we had built in the with the China supply chain we have built. And just some of the broader hardware and software architecture that brought us together to make that deal happen.
Noel Parks: Great. Thanks so much for the detail. And I am thinking a bit about how, of course, I don't know all the behind the scenes lead up to it, but how comparatively straightforward the project finance process has been, for example, for Calistoga. And I'm just sort of thinking as far as getting arms like financial partners to understand the visibility we have and the opportunities for returns. I'm just wondering how different the discussions are for end customers who are in the process of, you know, evaluating, you know, what sort of project they might do with the company. I'm just thinking about how I'm struck by even with quite proprietary technology, it can sometimes it can be such a long process just getting customers aboard. So any thoughts you had on sort of the differences and explaining to those different audiences?
Robert Piconi: Yes, go ahead, Michael, do you want to start with that one and I'll fill in any gaps?
Michael Beer: Why don't you go ahead, Rob?
Robert Piconi: Okay, sure. Look on the -- it's a good question in terms of those dynamics. First of all, we're on the project financing. No, we're starting with what's considered a conventional proven technology. So right away, you have something that's bankable. Obviously, every market and every project has its different dynamics. I would say with our initial projects, all of them have long term off takers. So that's a tremendous de-risk for a lender. The fact that we have someone on the other side in the case of Calistoga is Pacific Gas and Electric on a 10.5-year agreement. We have a long term agreement on Cross Trails. The already mentioned in Australia on Stoney Creek is a -- it's a 14-year agreement backed by the government. So I think when you have those dynamics of conventional bankable tech and a long term offtake and then third, you have a company that has delivered projects already and successfully, which that was in the case. And when we first started in 2022, we are a brand new company. So we actually had to earn that. We had to earn that through execution and working for our customers to deliver to their expectations. So I think with those factors that are, I would say, true of the first three projects that we have, even in Texas and with a merchant market, having a sort of a threshold, a floor offtake agreement, all those things drive a much better type of project financing. And I will say that the first one due to fires in California in Q1, et cetera, took a little a little longer. And hence, you had that I think which was an uncharacterized, uncharacteristically low watermark at the end of Q4 in the cash. But of course, we had we knew the financings were coming as they are now and we're demonstrating. And we've also been able to monetize those ITC's, monetize them in the sense of contracting in a binding agreement to sell those and those will be coming up in Q3. So I think there's those are the, I think, some of the factors that influence. And I think one thing I'd say here, I know that that I would hope we'd all agree isn't going to change despite geopolitical and the things that happen region to region price volatility in this market because of severe weather events and the dynamics of that severe weather and what that creates in terms of, you know, changes in the power grid or even events like fires and things. These opportunities in that pricing volatility, we expect to continue. Hence, the investment in these assets now and the ability to participate in that is something that we believe is going to be a very attractive thing for our company and for investors as we have those recurring streams. And with that volatility, be able to be quite profitable.
Noel Parks: Great. Thanks so much for the detail.
Robert Piconi: Thank you, Noel.
Operator: There are no further questions at this time. I would like to turn the floor back over to Robert Piconi for closing comments.
Robert Piconi: Great. Thank you, operator. And just to thank everybody that joined the call. And again, thanks to all the employees of the company that have been focused in this environment. That definitely has been very volatile on that. And I'll look forward to continued updates here through the quarter on things we have ongoing, and we'll look forward to the next time we get together in early August. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.